Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2026 Prestige Consumer Healthcare Inc. earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automatic message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Philip Terpolilli, Vice President of Investor Relations and Treasury. Please go ahead.
Philip Terpolilli: Thanks, operator. And thank you to everyone who has joined today. On the call with me are Ron Lombardi, our Chairman, President, and CEO, and Christine Sacco, our CFO and COO. On today's call, we'll review our third quarter fiscal 2026 results, discuss our full-year outlook, and then take questions from analysts. The slide presentation accompanying today's call can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the investors link, and then on today's webcast and presentation. Remember, some of the information contained in the presentation today includes non-GAAP financial measures. Reconciliations to the nearest GAAP financial measures are included in our earnings release and slide presentation. On today's call, management will make forward-looking statements around risk and uncertainties, which are detailed on a complete safe harbor on page two of the slide presentation that accompanies the call. These are important to review and contemplate. Business environment uncertainty remains heightened due to supply chain constraints, high inflation, and geopolitical events, which have numerous potential impacts. This means results could change at any time, and the forecasted impact of risk considerations is the best estimate based on the information available as of today's date. Additional information concerning risk factors and cautionary statements are available in our most recent SEC filings and the most recent company 10-K. And I'll hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks, Phil. Let's begin on slide five. Delivered solid results for the third quarter which reflected the benefits of our diverse business model and strong financial profile. We are pleased with these results, especially when navigating the challenging consumer backdrop we've seen year to date. Which includes consumers continuing to change where they shop in a fluid environment with tariff inflation, a government shutdown, public announcements related to acetaminophen, and more. All of this led to a dynamic environment in Q3 which we successfully managed through. Sales of $283 million were slightly better than forecast. Our diverse customer base allowed us to see solid order trends in our growing channels, which more than offset the impact of other channels that are more affected by the macro issues I just mentioned. Our broad distribution allows us to benefit from changes in consumer shopping habits no matter where they look to buy our trusted and leading brands. Another positive is that we continue to see sequential improvement in ClearEye supply for the second quarter in a row. We anticipate further improvements based on actions we've taken that I'll discuss shortly. Moving down the P&L, both gross margin of 55.5% and adjusted EPS of $1.14 were in line with our expectations provided on our second quarter call. Free cash flow was $209 million year to date, up 13% versus the prior year. This impressive cash flow allowed us to repurchase approximately $46 million in stock and acquire our strategic partner Pillar Five during the quarter, while still maintaining leverage in the mid-2s. Our disciplined capital allocation strategy continues to enhance shareholder value. Christine is going to discuss this and specifically our year-to-date share repurchases after reviewing the financials. So despite a fast-changing consumer backdrop, we have confidence in our core business which remains well-positioned and we continue to expect free cash flow growth for the fiscal year. Now let's turn to slide six for an update on eye care supply. We continue to see long-term growth opportunity in the eye care category driven by an aging population and other factors. We have faced challenges in supply for our Clear Eyes brand for the last several quarters, but we are confident that we've taken the appropriate strategic actions shown on the left side of the page to return Clear Eyes to its leading market share position. To start, over the last nine months, we've brought on two new third-party suppliers to help ensure near-term production as well as long-term backup supply. Second, we closed on the Pillar Five acquisition in December, which unlocks the opportunity to take direct control over an important element of our supply chain. Third, with the installation of a new high-speed line that began in December, we believe Pillar Five has the capability to support the majority of our eye care production internally over time. With the combination of ownership and the high-speed line, this gives the facility the ability to have unconflicted focus on producing high-volume, quality product on time for Clear Eyes, the historically number one eye drop brand at retail. With these strategic underpinnings, we believe this year is set up to allow us to shift towards a focus on accelerating total production. These priorities to achieve this are on the right side of the page. We expect to continue sequentially increasing supply through calendar 2026 as we increase efficiency levels and production to higher sustainable levels. During this period, we also expect one-time investment as we transition Pillar Five from their private ownership. As production and resulting supply improves, this will allow us to further diversify our pressure runs into an expanded assortment of SKUs versus today where the focus is on our top two selling items: Redness Relief and Max Redness. These higher production levels will allow us to refill both retailer safety stocks and our own. Lastly, the consistency and volume of production will enable marketing efforts that should help further accelerate demand growth. So in summary, we feel good about the actions and steps we've taken to improve our eye care production positioning. We believe we are positioned to continue to improve supply sequentially again in Q4 and moving forward. With that, I'll turn it over to Christine to discuss the financials.
Christine Sacco: Thanks, Ron. Good morning, everyone. Let's turn to Slide eight and review Q3 year-to-date financial results in more detail. Q3 revenue of $283.4 million declined 2.4% from $290.3 million in the prior year, or 2.2% excluding FX. The revenue decline was mainly attributable to lower eye and ear care category sales owing largely to Clear Eye supply constraints. As Ron mentioned, we also benefited from our broad distribution which drove sales growth in some of our largest channels. This helped offset continued consumer volatility and softness in certain categories like analgesics, and cough and colds. Adjusted EBITDA margin remained in the low thirties. Adjusted diluted EPS of $1.14 was down slightly versus $1.22 in the prior year, reflecting the lower sales timing of A&M spend and higher G&A costs. Last, please note these results exclude an approximate $10 million write-off of a supplier loan. Although not often, from time to time, we expect to extend secured financial liquidity to our third-party suppliers, to ensure continuity of supply. In this case, we decided to make a loan to a partner in fiscal 2024 as they explored a sale of their business and we transferred our products to other suppliers. That work has been completed without any meaningful disruption in supply, but the business shut down in December. Our loan is secured by the assets of the company, and while we expect some recovery, we cannot estimate the amount. As a result, we have written the full balance off at this time. Let's turn to slide nine for a discussion around consolidated results for the first nine months. For the first nine months of fiscal 2026, revenues decreased 3.9% organically versus the prior year. By segment, excluding FX, North America segment revenues decreased 4.4% and international segment revenues decreased 90 basis points versus the prior year. The first nine-month sales decline was largely due to the anticipated impact of the Clear Eye supply chain constraint. As Ron highlighted earlier, thanks to our channel diversity, we continue to benefit from strong growth in channels like e-commerce, which have offset negative trends in most other channels. Also impacting year-to-date sales was category softness in the analgesic, and cough and cold categories. Ron will note the implications of this when reviewing our outlook for the remainder of the year. Elsewhere, our international OTC segment business declined slightly year-to-date for two primary factors. First, we were impacted by the timing of distributor orders year-to-date but continue to see positive consumption trends. Two, similar to the US, our sales results continue to be impacted by the limited eye care production. Despite these near-term impacts, we continue to have confidence in our long-term growth algorithm for 5% annual segment revenue growth. Total company gross margin of 55.7% in the first nine months was up 50 basis points versus the prior year. Looking forward, we anticipate a 57% adjusted gross margin in Q4. Our fiscal year 2026 tariff outlook is unchanged at approximately $5 million. Advertising and marketing came in at 14.1% for the first nine months. For fiscal 2026, we now anticipate an A&M spend rate of just under 14% as a percent of sales. Adjusted G&A expenses were higher for the first nine months versus prior year, primarily due to the timing of certain expenses and also an increase in bad debt allowance in Q3 for one specific customer. We anticipate full-year G&A of just over 10% as a percent of sales. Finally, adjusted diluted EPS of $3.16 compared to $3.20 in the prior year as improved gross margin, more favorable interest expense, and share count helped offset the impact of lower revenue. Looking ahead, to reflect the latest assumptions following the closure of Pillar Five, and our recent share repurchase efforts. For Q4, we expect interest expense of approximately $11 million, an approximate normalized tax rate of 24%, and a share count of just under 48 million. Now let's turn to Slide 10 and discuss cash flow. For the first nine months, we generated $208.8 million in free cash flow, up 12.9% versus the prior year. We continue to maintain industry-leading free cash flow, and are maintaining our outlook for the full year of $245 million or more. For Q4, we do expect lower year-over-year quarterly free cash flow owing to timing and investments in working capital. At December 31, our net debt was approximately $1 billion equating to a covenant-defined leverage ratio of 2.6 times. Our strong financial position and consistent business performance continues to enable multiple uses of cash flow. In Q3, this included the closure of Pillar Five, as Ron discussed earlier, for just over $110 million as well as opportunistic share repurchases. Let's turn to slide 11 to review our year-to-date share repurchase efforts and our overall capital allocation strategy. Thanks to our strong financial profile and resulting free cash flow, optimal capital deployment is a valuable driver in enhancing long-term shareholder value. These priorities are unchanged. We anticipate disciplined cash deployment against the various options of investing in our brands, M&A, share repurchases, and deleveraging to further enable the first three priorities. This year is another example of our powerful capital deployment strategy at work. Through the meaningful cash generation and resulting debt reduction we've achieved over the last few years, we have leeway for multiple value-adding priorities at once. To that point, beyond just the recent acquisition of Pillar Five, we continue to actively assess M&A and see future opportunities to acquire leading consumer healthcare brands that can enhance our portfolio. But in tandem, we've also capitalized on a unique opportunity to repurchase our shares at what we believe are particularly attractive levels while still retaining flexibility to pursue M&A and other deployment options. As part of our multi-year share repurchase authorization, we've now repurchased over $150 million in shares year-to-date, or nearly 5% of shares outstanding. As shown on the right side of the page, the majority of these came in Q2 and Q3 opportunistically at attractive return levels. This is a textbook example of how our healthy leverage position and strong and steady free cash flow allows us to be nimble in capital deployment and generate incremental value. With that, I'll turn it back to Ron.
Ron Lombardi: Thanks, Christine. Let's turn to slide 13 to wrap up. As we approach the end of a volatile year, we continue to have confidence that our diversified business model and strong financial profile have set us up for long-term success. For fiscal 2026, we have narrowed our sales outlook forecasting approximately $1.1 billion in revenue. This update reflects continued consumption momentum in the growth channels of our business like mass but offset by slower order patterns in other channels that are facing shopper headwinds. We expect sequential improvement in Clear Eye Supply again in Q4 which equates to three consecutive quarters of improvement. EPS will follow sales and narrow to an anticipated adjusted diluted EPS of approximately $4.54 for the year. Lastly, we continue to anticipate free cash flow of $245 million or more. We have ample capital deployment optionality, that has a history of maximizing value for our shareholders. With that, I'll open it up for questions. Operator?
Operator: As a reminder to ask a question, please press 11 on your telephone. Wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from Rupesh Parikh with Oppenheimer and Company. Your line is open.
Rupesh Parikh: Good morning, and thanks for taking my question. So Ron, just going back to your commentary about the shopper headwinds in the weaker parts of your distribution. Just curious, as you look at those customers, are you seeing that consumption shift to other retailers? Is this just more maybe inventory stocking that's happening in that channel? So just maybe more color in terms of that dynamic from a consumption perspective.
Ron Lombardi: Sure. Good morning, Rupesh. Yeah. I think you hit it right on the head, which is, you know, we're seeing a volatile environment. Lots of things kind of distracting and impacting how consumers think about shopping. And what we're seeing is more of a continuation of a channel shift. So we're picking up the consumption based on where they end up purchasing the product. So a continuation of the trend we've talked about earlier in the year.
Rupesh Parikh: Okay. So you feel good about the overall consumption trends within the business. It's just more of this inventory type of destocking that's impacting the guide. Is that the right way to think about it?
Ron Lombardi: Yeah. Exactly. And, again, it's back to the benefits of our business model. Right? Diverse portfolio, a broad distribution, allows us to pick them up where they go looking for those trusted brands.
Rupesh Parikh: Okay. And my last question on that topic, any sense of when this headwind may go away? Is it more Q4 specific, or do you expect it to bleed into the next fiscal year as well?
Ron Lombardi: You know, we're really looking at it quarter by quarter. It's hard to predict. Right? If you go back to September, you know, we wouldn't have predicted the level of volatility we saw in the quarter ended December. So but, again, back to you know, the good news is for us is that we're well-positioned to manage through no matter what's going on.
Rupesh Parikh: Okay. Great. And then maybe my last question. I know it may be early, maybe limited in what you can comment. But as you look towards your next fiscal year, is there any initial puts and takes we should be thinking about whether on the Clear Eyes side or anything else at this point that you can comment on?
Ron Lombardi: Yeah. So I guess two things. The first is you know, we continue to feel good about the performance of our business on an organic basis. And then secondly, we've talked about the expectation of continued increases in the Clear Eye supply chain. So we'll provide more color and details for fiscal 2027 on the May call.
Rupesh Parikh: Great. Thank you. I'll pass it along.
Ron Lombardi: Okay. Thank you.
Operator: Thank you. Our next question comes from Susan Anderson with Canaccord Genuity. Your line is open.
Susan Anderson: Hi, good morning. Thanks for taking my question. I guess maybe just a follow-up on the eye care business. It's good to see that sequential improvement there. Feel like we're starting to see better stock on the shelves. So I guess I'm curious kind of where you're at with that restocking versus where you used to be. Not sure if you could get kind of, like, a time frame of, you know, when you think you'll be kind of fully back to stock with all of the SKUs and everything. And then, also, I was curious, was there an impact to margins during this disruption of the eye care supply? And should we expect the recovery to stay, like, in gross margin as the business gets back to normalization? Thanks.
Christine Sacco: Hey. Good morning, Susan. This is Christine. So you know, in terms of Clear Eye supply, I think we continue to feel good about the strategic decision to acquire Pillar Five. Right? And we talked about bringing on two new eye care suppliers earlier in the year. And again, feel good about that. It's gonna ramp. Right? It's not a switch that we turn on. So in terms of restocking, right, it's gonna take us some time. We're gonna be probably incurring this as we work through fiscal 2027. But, again, sequential improvement expected. The third quarter that we felt it and continue to expect it for our fourth quarter as we move forward. From a margin perspective, relatively stable. We always talk about whether it's we're channel agnostic or pretty much brand agnostic. Right? We do see some mix, but it's not material. So, not expecting a meaningful change in our margin as we move forward in terms of eye care supply.
Susan Anderson: Okay. Got it. And then I guess maybe a question on e-commerce. Obviously, it continues to grow pretty well. Maybe if you could give us an update where your penetration is at. And then also, are there certain areas of the business that's growing faster online than others? And where you think the penetration can be longer term?
Ron Lombardi: So, Susan, our consumption grew over 10% in the third quarter, so we continue to see solid, continuing consumption growth even on top of, you know, great results year after year. You know, calling the ultimate channel share is hard to predict. Right? It depends on what shoppers choose to do in the future. But clearly, what we're seeing today is that shoppers are flocking to places where they get a broad offering of the products they're looking for. Great pricing, price transparency, and service. And that service is whether it's you know, overnight or same-day shipment or order it online, pick it up in the parking lot, or being able to get in into the store and pick up all of the things you may wanna get in a shopping trip. So you know, that we've seen that change dramatically over the last five or six years. We'll see where it goes forward. But the way we think about it is every day it's our job to work with our retail partners to help them be successful. In meeting their objectives. And if we do that, we'll win with the shopper and we'll win with our brands.
Susan Anderson: Great. Okay. And then maybe one last one for me just on the women's health business. Maybe if you could give an update there. It looks like it took another dip in the quarter, but sequentially, it was better. I guess, was that category susceptible to kind of these consumer shopping patterns or retailer destocking, or is it just ordering patterns? Thanks.
Ron Lombardi: Yeah. So, again, let's talk about the two different brands in women's health. Monistat continues to do well. It's at, you know, kind of historic peak levels of share these days. We continue to look at opportunities to expand the brand into care. So we've got some great new wash products that are doing very well this year. So Monistat continues to do well. Summer's Eve continues to be well-positioned for long-term growth. As you just said, we're seeing kind of volatility in year-to-year comps. And, you know, we talked about the fourth quarter last year about a spike in .com orders and then kind of the offset in the first quarter of this year. If you go back and look at TTM for the December, the women's health franchise continues to do pretty well. So we continue to feel good about it going forward.
Susan Anderson: Great. Thanks so much. Good luck.
Ron Lombardi: Sure. Thanks, Susan.
Operator: Thank you. Our next question comes from Keith Devas with Jefferies. Your line is open.
Keith Devas: Hey, good morning. Thanks for the question. I guess very quickly on the capital allocation front, I believe you guys have bought back more stock this year than in recent memory. Maybe just talk through the decision process of doing that versus reinvesting. Is this something we should be accustomed to at these levels? Just kind of the go-forward path of thinking about capital returns and the absence of M&A? If this is kind of the right level that you might be expecting to continue repurchases at. Thanks.
Christine Sacco: Yeah. Good morning, Keith. So, you know, as we've talked about, certainly investing in our brands is priority number one, but we do continue to evaluate M&A. That is our secondary use of capital preference at this point. But we're gonna be disciplined. So there's a lot out there. We're looking at all of it, and we'll continue to evaluate it. But given the market reaction to our stock in recent periods, it's math. Right? We do the math, and we think we're getting a pretty good return for our shareholders by reinvesting in ourselves at this point. And so we'll continue to evaluate it on that basis. But it comes secondary to M&A. And, certainly, we don't impact the business in investing in our brands by doing it. So strong free cash flow, consistent, and we have optionality at this point, which, you know, in years past, maybe we didn't have. But where leverage is, I think we stand in a good position to continue to repurchase.
Operator: Thank you. Our next question comes from Jon Andersen with William Blair. Your line is open.
Jon Andersen: Hey, good morning. Thanks for the question. Morning. So I guess my first question is on sales and the outlook. I think you mentioned in the prepared comments that the sales in the third quarter were actually slightly ahead of your expectation. But then the guidance points us to the low end of the prior range. Which implies, you know, slower growth than you anticipate in the fourth quarter. Can you kind of unpack that for us a little bit? What's affecting the fourth quarter outlook?
Ron Lombardi: Sure. So first, consumption for the fourth quarter, we continue to feel good about it. So it's not really a consumption issue, Jon. We're really trying to reflect the order patterns that we saw in the third quarter and the volatility. You know, the big theme we saw in the third quarter and really for this year is that the retailers and the channels that are doing well have consistent order patterns. They're growing to support their growing businesses, and the channels and the retailers with headwinds are adjusting their order patterns and their business accordingly. So we're trying to reflect that in the fourth quarter outlook, Jon. So that's really the big thing there.
Jon Andersen: Okay. So I want to talk about consumption. So what did you see from a consumption standpoint in the third quarter, maybe you want to exclude Clear Eyes. I'm not sure. So the rest of the portfolio and what level of consumption growth you kind of anticipating in the fourth quarter? I'm just trying to understand, are we hitting consumption? You know, is it running at our target, what, two to 3% rate?
Ron Lombardi: Yeah. So for consumption in the third quarter, right, with our portfolio, we always see brands and categories that do better than we might have expected, some in line, and some a bit behind. So we continue to have great momentum in GI. Fleet and Dramamine are doing really well. Skin is another space that's doing well. Cough cold for the third quarter, and, again, these are shipments, was fairly stable year over year, but incident levels are behind where they were last year. The two other places to call out, you've heard us talk about lice. The incident levels continue to be down year over year. But the surprise for us in the third quarter was the analgesics category. The announcements that came out of Aldon, acetaminophen, early in the third quarter really impacted the category. You know, other big brands in that space were down as much as 15%. We were down a couple of points. So although impacted slightly, it still wasn't what we would have expected or in line with recent trends. To go back and look at the three quarters ended September, the analgesic category for us was growing nicely, our brand BC, and Goodies. So, those were the outliers in the third quarter. For the fourth quarter, we anticipate the analgesics will get better. Lice will continue to be behind. Cough cold will continue to be behind. But in general, the consumption for the portfolio, you put all the pieces together, excluding the analgesics and the lice, are generally in line with what we'd expect.
Jon Andersen: Okay. That's helpful. Thanks for that. Just a last one is more referencing an earlier question on kind of sales for '27. You mentioned actually, Ron, I think you mentioned kind of happy with the base business performance. Obviously, there are always puts and takes to your point across a diverse portfolio like yours. But good base level consumption. And then you have the benefit, if you will, of supply conditions improving behind your eye and ear care segment. Does that get us, you know, kind of an above algorithm year? Is that a reasonable hypothesis? Or is this kind of, hey, the consumer dynamic is so fluid. And some of these retailers that aren't maybe performing as well, you know, need to are likely to provide an offset. I'm just trying to kind of get a little bit of a handle on how you're handicapping or thinking about the top line in '27? Thanks.
Ron Lombardi: Yeah. So let's break it into two pieces, and I'll talk about consumption, which is where you started with. You know, again, we feel good about the broad portfolio, and the opportunities for '27. And then Clear Eyes, as we've talked about, we expect to have more product available at retail, so that's gonna give us a lift in consumption for next year. At the May call, you know, we'll know more between now and May in terms of what to expect for the impact for retail order patterns as we get into '27. But know, it always starts with consumption and brand performance. We feel good about that base. And we'll provide more detail in May for '27.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone. And wait for your name to be announced. Again, press 11 to ask a question. Our next question comes from Mitchell Pinheiro with Sturdivant and Co. Your line is open.
Mitchell Pinheiro: Hey, good morning. So just curious. We haven't talked much or at least on advertising and marketing. Do you anticipate any changes in that as e-commerce becomes bigger? I mean, are you able to take any advantage, take any money out of that bucket? Or does it require a little more focus as e-commerce grows?
Ron Lombardi: Yeah. So good morning, Mitch. Thanks for the question. So our marketing is always gonna evolve based on what the consumer is doing and how best to connect with them. And in today's environment, certainly, aligning your marketing initiatives to better connect with the shoppers as they're shopping differently. Right? Increasing their purchases on .com. Through whatever retail partner we have and their .com initiatives. So it's something we've been working on for quite a while to better align those investments to connect with the shoppers. You know, we're not wired to think about, hey, can we save money by this evolving change? Right? We'll look for ways to be more efficient and effective. And if we can find additional dollars, we're gonna invest it behind long-term brand building. But evolving how we think about better connecting with the consumers is something that's always been part of what we've been doing.
Mitchell Pinheiro: Okay. And then as it comes to private label, I mean, private label is always relatively nonexistent in your category, but I'm just curious whether you're seeing anything in that regard in the current environment.
Ron Lombardi: Yeah. No. It's more of the same for private label share in this environment. Right? You're in a category once every year or two or three years, and you used a brand or a product the previous time you or somebody was sick, somebody in your family was sick and it worked, you're gonna continue to look for that trusted brand to treat your illness. So we don't anticipate private label share changes in this environment.
Mitchell Pinheiro: Okay. And then I guess I sort of back to advertising and marketing, but as you grow your eye care business back to prior levels, is it gonna take a little more marketing? I mean, I know shelf resets are a big part of it, but is it gonna require, like, for, you know, twelve months, additional focus there?
Ron Lombardi: Yeah. We'll see an increase in marketing spending and activity for Clear Eyes as more product becomes available at retail. But we'll look to shift funds around, you know, during the last year or so. We haven't meaningfully taken down advertising and marketing in total. We've shifted it to other places to accelerate activities or take advantage of other opportunities. And we'll look to move monies around. So we wouldn't expect any impact on the profile of the P&L as we get back to chasing Clear Eyes activity.
Mitchell Pinheiro: Okay. I guess just one last question. I mean, you've done an excellent job sort of line extending whether it's, you know, Dramamine, and nausea, or whether it's with Summer's Eve, so on and so forth, you sort of once a year focus on a category with, you know, some extra, you know, new news. Anything you can talk about in 2027 that might be an extended focus?
Ron Lombardi: Yeah. So, you know, we don't tend to talk about product until it's at retail, and we're just getting into the shelf reset timing for the year. But the one product I will point out is Compound W launched a SkinTag product and it's found at mass and .com right now. And it's quickly accelerated at mass to be the number one skin tag product. So that's an example of us stretching that Compound W brand into SkinTag treatments and the power of the brand to connect to that kind of treatment occasion, you know, expanding beyond the legacy wart products.
Mitchell Pinheiro: Okay. That's great. That's all for me. Thank you.
Ron Lombardi: Okay. Thanks, Mitch.
Operator: Thank you. Our next question comes from Yakov Mosheyev with JPMorgan. Your line is open.
Carla Casella: Hi. It's actually Carla Casella. Just a question about the charge you took for a facility loan for the supplier. Is that a facility that you would consider acquiring? Or can you give us a sense for what's the supplier for a specific segment of the business? Just any more color you can give on that would be great.
Christine Sacco: Yeah. Good morning, Carla. It's Christine. So this particular supplier, you know, strategic relationship with, came to us over almost two years ago and said we're experiencing some financial difficulties. With a decent size of the business, and so immediate plans went in place to transfer out the product. But as you know, that takes some time. So over that period, we extended them about $8 million of financial assistance. That gave us enough time to get our product out of there, and they were at the time pursuing a sale. And so, you know, when I look back, I think about the return we got on that money for saving the gross margin on those particular products. They weren't concentrated in one area. There were a few products, a few SKUs within products and brands that were there. Transferred them all out successfully, and unfortunately, they did not complete a sale during that time, and they shut down in December. So highly unusual, specific situation, but kind of an example of how we work with all of our suppliers, and our focus is on continuity of supply, and I think we were successful in that.
Ron Lombardi: And Carla, very different than the Pillar Five example. This was a liquid mix and fill facility. And there's plenty of competitive liquid mix and fill capacity available that we were able to move our products to. Including one moving one product to Lynchburg, our Debrox earwax removal product. We evaluated it and said, hey, this liquid mix and fill product would be a great candidate to move into Lynchburg. So we even moved one of the products there. So very different than SterilEye Care, where as we scan the supply chain landscape, there wasn't available capacity. So two very different outcomes. One where it was strategically advantageous to us going forward with Pillar Five, an example of taking advantage of capacity available out there.
Carla Casella: Okay. Great. And then as you look to future M&A, are you mostly focused on brands or could some of it be vertical or facility related?
Ron Lombardi: It's gonna be focused on brands and long-term brand building value.
Carla Casella: Okay. Great. Thank you.
Ron Lombardi: Thank you, Carla.
Operator: Thank you. This concludes the question and answer session. I would now like to turn the call back over to Ron Lombardi for closing remarks.
Ron Lombardi: Thank you, operator, and to everyone for joining us today. And we look forward to providing another update on our May call. Thank you. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.